Operator: Thank you for standing by and welcome to the Q3 production report for the three months ended 30th September 2013 conference call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions) I would now like to hand over the conference to a speaker today, Ms. Gabriella Mayer. Please go ahead madam.
Gabriela Mayor: Good morning and welcome to Fresnillo’s third quarter production report. My name is Gabriella Mayor and I am head of investor relations for Fresnillo Plc. I would like to just give a quick rundown of the key points and then I will be happy to take your questions. Fresnillo has entered the final three months of the year in a strong position. Attributable to the production of 11.1 Moz was 7.6% higher than the same quarter last year and also modestly higher than the previous quarter. That leaves silver production so far this year of more than 32Moz which is 5.6% higher than the same period last year. It leaves us well placed to meet the four year guidance of 41Moz of silver production this year. And once again thanks to the consistent strong performance of the Saucito mine where we are now operating at the higher rate [indiscernible]. We have also made changes to optimize production at Saucito all of which compensates for the expected decline in production at Fresnillo mine. However we are pleased that production at Fresnillo is now stabilizing. We expect the rates for the year as the whole to be close to our guidance of 300 g/ton. On a quarterly basis and compared to the second quarter of the year, production has increased as we begin to process ore from the additional stokes at the San Carlos vein. Our goal production of 114, 000 ounces was around 10% lower than the same quarter last year and year to date production of 350,000 ounces was around 7% lower than the same period last year. It was mostly as a result of a legal issue surrounding the Dipolo pit that you are aware of. However as we reported last week we have resumed production at Noche Buena and expect the temporary suspension of the explosives permit at Herradura will be lifted over the coming weeks, at which point we will provide a further update regarding gold production guidance for 2013. I don’t think I need to update most of you on our exploration operation, as I know that many of you will have heard of [indiscernible] about the strength of our pipeline and our update last week during our exploration day. However with the progress that has been made at the Dynamic Leaching plant at the Herradura which will be commissioned during the current quarter. Also I would like to highlight the construction work that is ongoing at San Julian and Saucito II that we remain exceptionally excited by. So as we enter the final quarter of the year, we remain confident in our world class assets and the next generation of world class assets and we will continue to work on our growth pillars of working with local communities, optimizing our operations, promoting sustainable development, and investing throughout the cycle. I will now be happy to take your questions. Operator, can I have please the first question?
Operator: (Operator Instructions) Your first question comes from Roger Bell.
Roger Bell – UBS: Hi Gabriela, thank you very much for the call. Congratulations on a very solid set of results. I just had two questions. First of all, on your guidance, the 41 million ounces guidance of silver production, it kind of implies a 20% drop in Q4 versus Q3. Is this just you being very conservative on your guidance or can you detail where that drop in silver production is going to come from? And secondly, could give you give a bit more color on the San Julian project, sort of when you expect to complete the sort of detailed engineering, what you have been doing, and start actually building the plant? And is there any sort of seasonal issues there in terms of construction, because [indiscernible] exploration day showed us a picture of San Julian covered in snow. So can you just sort of clarify – well there is sort of season for actually building this?
Gabriela Mayor: Thank you, Roger. Yes indeed we do have a very good quarter in terms of silver production mainly. Regarding your questions, the guidance of the 0.1 million ounces of silver, yes we are just keeping that because we want to be conservative. As a matter of fact, as you have been reading in our report at the Saucito mine we have been having a very good performance with higher weight ore and of course that has been helping us and we believe that’s going to be business as usual in all of our silver mines. So while we are keeping the 0.1 million for now but perhaps you can imagine that that might be a little bit higher. In terms of the San Julian project, yes we are still working on some of the engineering because you know that they are going to be two plants over there and the thing is as you know that Saucito is a new district. We are advancing perhaps a little bit more slowly than in other projects, for example, San Julián which is already near the Fresnillo mine and the Saucito mine, and you know that there is a lot of infrastructure over there. San Julian is a new district and we are constructing, of course, getting all of the infrastructure, constructing the plant also developing the mine. So that is the only thing that we are doing there. We believe that by the end of the year we are going to be in a well position to start construction and that is going to be fine and on time.
Roger Bell: Thanks very much.
Gabriela Mayor: Thank you Roger.
Operator: Your next question comes from Daniel Lian [Bank of America]. 
Daniel Lian – Bank of America: Hi, morning Gabby. I was just wondering considering how you have the issues with explosives at the Herradura mine, that’s actually a pretty solid quarter that you have there. I was just wondering if you could tell us a bit more of the reasons the recovery rates increased during the quarter and whether that is sustainable. And if also if you have any numbers on how much your mining volumes actually decreased quarter on quarter at Herradura as a result of the explosives issue?
Gabriela Mayor: Yes, thank you, Daniel. Yes, you are right we do have better or improved recovery rates and the reason for that, you know that we said in the interim report that as we have inventories at the Leaching plant we will continue to be irrigating those and we will still be pretty producing the rate. And of course, the month goes by [indiscernible]. Yes, you will see a gradually decrease in the recovery or production of the rates but that is just gradually. So, so far yes we have a significant effect because of the improved recovery rate, and the only thing is that it is a little bit early to say. That’s the reason why we are saying that we must wait until the suspension of the explosives are lifted at Herradura before we can really reassess where the things are. So I would just ask you to wait for a few more days just to have more information and we can just update you with more accurate numbers.
Daniel Lian – Bank of America: Okay, sure, thank you.
Gabriela Mayor: Thank you, Daniel.
Operator: (Operator Instructions) There are no further questions at this time. Please continue.
Gabriela Mayor: Thank you very much, operator and thank you everybody for dialing in and enjoy the rest of your days.